Operator: Good morning, ladies and gentlemen, and welcome to Zumtobel Group's conference call on the Q1 results for the 2025-'26 financial year. With me on the call are Alfred Felder, our CEO; and Thomas Erath, our CFO. Alfred will walk you through the highlights of the quarter, while Thomas will discuss the financial performance. After the presentation, both gentlemen will be available to answer your questions. In case you have not a copy of the report and the presentation, you may find both documents for download on our web page. After the call, a playback of this conference call will be available on our web page as well. And with this, I hand over to Alfred.
Alfred Felder: Good morning. Welcome, ladies and gentlemen, and thank you for joining us today for our Q1 '25-'26 call. This first quarter was again not an easy one for us. Market environment remains very, very challenging. In addition, the geopolitical environment also difficult. And the demand of the new construction, especially in our core markets in Europe is weak, triggered by a lot of shifts and delays. And obviously, that has resulted in figures what we will show in a minute. But before I go into this, as usual, I would like to share with you a couple of highlights, what shows that our strategy, what we have implemented in the beginning of '24 in the different growth areas is materializing. And here a couple of projects. One brought in our headquarter city of Dornbirn, where we are the lighting solution provider, where we have installed the state-of-the-art IoT connected luminaires based on the Saga sockets with our [indiscernible] ready, so the connected solution. It's the product what we have from Dornbirn, the Isaro Pro, what is installed here across the city. Another one, which is part of the core strategy growing in the arena in the sports and here an indoor stadium in Dresden equipped with our Altis, where we have now all type of products, including full color comes with DMX controls, includes a complete turnkey solution with commissioning involved. The next one is a shopping center in Belgrade in Serbia, where we have our factories both for components and luminaires, a refurbishment project with really our complete bandwidth of products called [indiscernible], where we have installed. On the bottom left here, the Campus Founder Lab in Heilbronn in Germany, innovation campus. Here, this is a typical high-end brand Zumtobel product with our high-end products [indiscernible], also including the whole emergency products. And last but not least, in the Italian part of Switzerland in Bellinzona, the fortress here, which is a UNESCO world heritage, where we have done refurbishment products. So the outdated sodium vapor lens from the '90s were replaced by energy-efficient [indiscernible] contrast LED spotlights and the result achieved has been the close collaboration what we had with the local authorities, the lighting designers and the technology suppliers. And with that, on Page 4, let me just give you an overview, and Thomas will then share the details on our financial performance in the first quarter, a period that, as expected, was strongly characterized by our economic uncertainty in the persistently weak market environment. These conditions were also reflected in our business performance. So we have a revenue declined by 7.8% to EUR 266 million. And on the segments, you see the Lighting segment generated a revenue of EUR 210 million, while the revenues of the components remained at EUR 70 million, so which means almost 12% below the previous year quarter 1. Adjusted EBIT at EUR 6.6 million, corresponding to adjusted EBIT of 2.5%. And the figures clearly show that the challenges facing our company remain strong. It is therefore particularly important that we continue to focus on resilience and sustainability within the entire group across the segments. And that includes also, of course, the review of our cost structures. And as part of this, you see on Page 5, we have decided to take the strategic decision to close our unprofitably relatively small U.S. production site in Highland in New York, so Upstate New York, 2 hours from New York City. This measure is part of our Focus+ strategy, what we have revised last year and updated. It will allow us now to focus strongly on our core markets and align our global production network accordingly. And this we will do relatively short term so that the measures are taking -- are contributing to our results. Despite this planned closure, our sales presence in U.S. will remain intact. We aim to continue to provide reliable service to our customers, especially on our international accounts, what we are servicing across all the continents, including the planners, the OEM, as I said, and the architects. And with this, the American markets where we have been mainly with our brand, Zumtobel, we will serve out of our global production network. But also let me turn to a more long-term program. As part of our updated corporate strategy, we analyzed in our first stage our global SG&A costs in an initial phase. And based on this analysis, we are currently developing a global package of measure that will be implemented by the end of the fiscal year '28-'29. The first measures have already been defined. This aim to reduce organizational complexity, minimize the efficiency and optimize the process and overhead, increase decision speed and therefore, enable more customer-facing roles. As you see here from this slide, over the next 4 years, we plan to achieve a significant cost savings in the SG&A area, and the savings will increase annually and are expected to reach a volume of EUR 30 million to EUR 40 million in the fourth year, and that is the financial year '28-'29. The main levers are the leaner organization, as I said, the expansion of our shared service centers. We have them already in Serbia in 2 locations, one in Belgrade, one in our factory location niche and in Portugal and in further process automation. We do expect to see the first effects as early as the current fiscal year with 80% of the savings to be then achieved in '27-'28. The associated restructuring costs will be in the single-digit million range annually up to the including '28-'29 fiscal year. In the Phase 2, what we are currently starting, our efficiency program will also involve the review the areas of operations, purchasing and R&D. And this program will build the foundation for steering our company and our employees safely through these challenging times. At the same time, we will ensure that we are well prepared for future development. This also applies to the economic recovery that the industry is hoping for, especially we will see it later in the page, the signs are turning a little bit more positive for the next 18 months, and we are already positioning our company to strengthen its competitive position. Ladies and gentlemen, with these measures, we are convinced that we can strengthen our company in the future and sustainably long term and be ready for hopefully the ramp-up of the business with a better cost structure with a leaner organization. And with this, I would like to hand over to Thomas, who will explain the Q1 results in more detail.
Thomas Erath: Thank you, Alfred. Good morning, ladies and gentlemen. A warm welcome from my side. Let me start with the Lighting segment. Q1 revenues in the Lighting segment amounted to EUR 210.7 million and were 7% below the previous year. The sales increases in parts of Southern and Eastern Europe were unable to offset the negative developments in the U.K. as well as in the Asia Pacific region. The fixed cost savings were not high enough to offset the decline in sales. Adjusted EBIT in the Lighting segment decreased from EUR 20.1 million to EUR 11.4 million. Our adjusted EBIT margin declined to 5.4%. Let's move to the Components segment. On Slide 8, you see revenues in the Components segment declined by 11.8% to EUR 70.9 million. The difficult economic environment led to declining sales across all regions. Adjusted EBIT in the Components segment declined to EUR 1.3 million in the first quarter. The adjusted EBIT margin stood at 1.9%. Slide 9 shows the overall Q1 results for the group. Revenues in the first quarter declined by 7.8% to EUR 266.4 million, mainly as a result of declining revenues in the U.K. and weak sales performance in Asia Pacific. Adjusted EBIT decreased from EUR 20.2 million to EUR 6.6 million. The negative revenue development had an adverse impact of EUR 14.1 million. The adjusted EBIT margin was at 2.5%. Slide 10 provides you with more information on our income statement. As indicated, adjusted EBIT stood at EUR 6.6 million. Special effects were negative EUR 7.4 million and mainly include the cost of the closure of our U.S. plant. After deduction of these special effects, our EBIT totaled minus EUR 0.8 million. Our financial results amounted to minus EUR 3 million. Net financing costs amounted to minus EUR 2 million and other financial income and expenses totaled minus EUR 1 million. They include interest expense for pension obligations, FX and hedging valuation. After the deduction of income taxes, our net profit for the first 3 months amounted to minus EUR 4 million. As a consequence, earnings per share were at minus EUR 0.09. Let's move to our cash flow statement. Cash flow from operating results fell from EUR 32.4 million to EUR 12.8 million. The change in other operating items amounted to minus EUR 11.8 million, mainly this is the result of leasing accruals for variable salary components. Cash flow from operating activities stood at EUR 1.3 million in the first quarter. Cash flow from investing activities amounted to minus EUR 11.9 million for the reporting period. In addition to investments in property, plant and equipment, this also includes capitalized development costs of EUR 5.3 million. As a result, free cash flow equaled minus EUR 10.6 million. Cash flow from financing activities amounted to EUR 12 million for the full year. Let me finish with Slide 12 and give you some comments on our balance sheet. The balance sheet structure remains stable. The equity ratio is almost flat with 41.9%. Net debt increased to EUR 134.4 million. This figure includes the extension of the Spennymoor lease agreement by a further 10 years. Our debt coverage ratio is at 1.98. And with this, I hand back to Alfred.
Alfred Felder: This slide, you know already the current market outlook. Before I'm turning into that, let me share some sector insights. We do see after 2 very challenging years, first signs of recovery in Europe, especially on the nonresidential sector. You see it here on the graph from Euroconstruct published in June. And there's a progress in both the renovations and the new build, although the growth remains different in the different countries in Europe. Looking ahead, construction actively is expected to pick up, particularly in the education, health care sectors, while the growth in storage facilities starting to slow. We are still seeing momentum, especially when it comes to data center builds and the new technologies based on artificial intelligence. In short, we are seeing early signals of recovery in the construction market, even if the base differs across the regions. And our strategic focus will be on leveraging these opportunities in renovation and position our group both from components and the lighting level in this area. And let me add, the lighting industry typically comes late in the construction cycle. So the positive momentum will reach us with some delay, especially if I'm referring to the huge investment plan what the German government has issued. Ladies and gentlemen, the overall market and here on Page 14 remains highly challenging with the geopolitical instabilities, what we are all seeing, the ongoing conflicts and the rising protectionism that continues to create significant uncertainty in all our markets. And this makes short and midterm forecasting increasingly complex with low visibility. We are seeing customers adopt a more cautious approach with longer decision-making cycles, more frequent project delays and especially on the components business with very, very short-term projects, what we see in the business. And these dynamics will have an impact on our business. But that said, there are also reasons for cautious optimism. After 2 years of recession, the European nonresidential construction sectors is explained, showing signs of moderate growth. And therefore, we believe we can participate. Taking all this into account, we are anticipating a single-digit percentage decline in the revenues compared to the previous year. Our priority is clear. We are driving operational efficiency, delivering on long-term initiatives and on our updated Focus+ strategy, including the 2 I highlighted here in the start of the call. Given the current revenue pressure and the time required for our measures to take the full effect, we are expecting an adjusted EBIT margin to be in the range of 1% to 4% and continue with our planned CapEx for this year of EUR 50 million. With that, I would like to conclude. Thank you for your attention. And Thomas and myself will be ready and happy to take your questions. Thank you for listening.
Operator: [Operator Instructions] And we have the first question coming from the line of Michael Marschallinger from Erste Group.
Michael Marschallinger: I got 2. Firstly, on the regional development. Your most important region, DACH, we saw some small decline in the fourth quarter, now some slight growth again in first quarter. And if I understood you correct, you see more positive on the outlook. So I assume we would this trend to continue in the next quarters. Is that correct?
Alfred Felder: Yes, thank you for your questions. That's correct. So obviously, in the DACH region, we have 2 very strong countries, which is Austria and Switzerland. And in Germany, we are seeing a slow momentum. But as indicated previously, we are late in the cycle and a lot of these investments are still to be released in construction. But especially when it comes to refurbishment, we believe that we will be able to continue with a slight recovery in the DACH.
Michael Marschallinger: Okay. Understood. And then secondly, on this announced restructuring measures on the Slide #6. On this listed measures, where do you see the biggest lever for the announced measures? Organization, I assume, is more footprint in reductions similar to the U.S. Is that correct? And maybe on the time line, if you can comment.
Alfred Felder: Yes. So what we have done over the summer, so from late spring to summer, we have analyzed the entire SG&A structure, which means the administrative structures in our headquarters, but as well as the sales territory. And when it comes to leaner organization, just to give you an example, we are planning more to go into the sleep country concept, which means in smaller countries, we are having then a much flatter hierarchy. Let me say, if you have countries like Poland, Hungary, Slovakia, Czech Republic, they are under one leadership. So we are saving some costs in the leadership and having more horsepower than directly out. So the leaner organization has not to do per se with closing sites, but to be more efficient. And in the headquarter, we are, of course, looking into all the processes what we can streamline to get faster and therefore, also reduce cost. Time line, I think you have seen it. We plan to have the first impact already in '25-'26, which is small and then the second one in '26-'27 and more or less reaching 80% of the same. So this is a EUR 30 million to EUR 40 million have been identified with clear measures, with clear, let me say, projects and the plan is now to execute it over time. I mentioned the excellence centers, what we plan to establish more professionally in Serbia and in Portugal. And obviously, you can imagine that this will be a transformation of jobs, what we will then build up there and more or less after that, those jobs in high-cost countries will then be removed. And we are also planning to do this smoothly based on the natural fluctuation.
Operator: The next question comes from Elias New from Kepler Cheuvreux.
Elias New: I hope you can hear me. My question is really on the sort of year-on-year margin bridge and sort of just trying to understand where that margin decline is coming from. Is that mostly attributable to negative volume growth? Or are there any other main drivers that you can call out? And secondly, if we talk about volume growth, is your expectation still that we will return to growth in the second half of this fiscal year?
Thomas Erath: Well, you are right. The main driver is volume. Volume is basically the whole impact of our decline in profitability is volume.
Alfred Felder: And your second question, obviously, we do see, and I said this at the beginning, still an extreme weak demand. Like I said in the last call, nothing has changed. We believe that maybe in the second half of calendar year '26, we might see the first impact on recovery simply because we are late in the cycle. So if the German government is issuing the budgets for infrastructure, what comes earlier is refurbishment, and we believe that, that might come as early as second half of '26. So with that said, we believe it will be rather flat also in the second half of this fiscal year, both for the Components business as well as for the Lighting Solutions business.
Elias New: That's very clear. And if we just return maybe to sort of the different regional trends. I mean, could you comment on what you're seeing in Europe compared to the U.S.? Because one of your competitors is speaking of a better environment in the U.S. So just wondering if that's something that you are seeing as well. And particularly, I know we spoke about the DACH region already, but maybe there are other sort of regional developments in Europe. So what you're seeing in Eastern Europe relative to Western Europe and Southern Europe?
Alfred Felder: Yes. In Eastern Europe, we are seeing a moderate, also flat development, fortunately, not shrinking. In the core countries, what we had -- so we had a very good momentum in U.K. last year, and that is easing out a little bit. So we are not seeing the growth here. Italy, okay, France, weak and also some of the Nordic territories. As you know, our U.S. business never was big. So we are mainly there with high-end Zumtobel products for museums, art galleries, working with international architects. So it's not a substantial revenue here. And Tridonic is also having small revenues in the U.S. Of course, the U.S. market with a full portfolio of what local companies have is in a better shape than Europe, as we know economically.
Elias New: Great. Very helpful. And then maybe just final question. I was just wondering what you're seeing on the customer side of your Components business. I mean, specifically with regards to inventory levels, whether you think those are sort of currently elevated or normalized? Any commentary surrounding that would be very helpful.
Alfred Felder: No, the inventory levels, what we have in Tridonic internally are on a normal level, so to speak, slightly higher simply because the customer behavior now is even more short term than it was in the past. So obviously, Tridonic customers, the OEM customers, our competitors, Photon and Zumtobel, they are -- if they are winning a project, then they are placing the orders to avoid inventories and it needs to be shipped within a couple of days. And that's a little bit the behavior what we see in the market.
Thomas Erath: So -- but -- the question with the inventory of the customer is that they have low inventory levels, but expect Tridonic to deliver within very short notice. They have no destocking, but low inventory levels. And if they get an order, they place it to Tridonic and its competitors and want to have the material on short notice.
Elias New: That's great. Very helpful. And just a final question for me on the pricing development in the Components business. What the expectation is for this year and maybe sort of over the midterm, do you expect it to be at the current level or pricing -- price erosion to fade or deteriorate? Any comment around that?
Alfred Felder: We are looking it up what it is at the moment. But basically, we are back to the normal behavior with something like 3% price erosion, so to speak. Of course, customers -- or let me put it that way, competitors do all have capacities available. So when it comes to projects, price is important. But luckily, Tridonic has products what are more in the mid- to high end, but everybody can apply for it.
Thomas Erath: As Alfred said, 2% to 3% is the price erosion.
Operator: The next question comes from Patrick Steiner from ODDO BHF.
Patrick Steiner: Three questions from my side, if I may. I'll take them one by one, if that's okay. First one, how much of the Phase 1 savings expected to come from personnel savings and how much is coming from other sources and which are they, if you could maybe give 1 or 2 examples?
Alfred Felder: You mean on the SG&A project, right?
Patrick Steiner: Yes, exactly.
Alfred Felder: So we are not having all these details ready now on what exactly is the personnel savings. But it's a mix of, let me say, savings on, let me say, an example, marketing expenses, but the majority of the savings will be in the range of 66%.
Thomas Erath: 70% to 80% will be personnel savings.
Patrick Steiner: On the time frame of 4 years, what is this depending on? And could we see a probability of the actual execution of the cost savings program to be quicker than the planned 4 years?
Alfred Felder: As I said, one quite significant part of the cost savings will be that we are having a key position with current and future skills built up in the excellence centers in Serbia and in Portugal. And obviously, we have calculated that it will take some time to hire these people, to train these people to give them the responsibility. And therefore, we believe that this is quite an aggressive plan here what we have with reaching 80% in '27-'28. Maybe we can accelerate a little bit what we do in '26-'27. It depends also how this whole setup is working in the different countries.
Patrick Steiner: Okay. That's helpful. Last question. The Phase 2 cost savings, can you give us some kind of quantifiable range with accepted cost savings? And also when do you expect to start the second phase of the program?
Alfred Felder: It's currently starting. We are going into that with a similar approach like with the SG&A. We are not having the details yet, but we are also expecting a double-digit million savings with that second phase.
Operator: [Operator Instructions] There are no more questions at this time. I would now like to turn the conference back over to Alfred Felder for any closing remarks.
Alfred Felder: Yes. Ladies and gentlemen, thank you very much for listening. Thank you very much for your interesting questions. Outlook, as I said, is a little bit shaky with a continuous weak environment, but we are positioning our company for the future, and we will update you on the progress in the next conference call after the half year. Thank you so much for listening, and have a great day ahead.